Operator: Good day, ladies and gentlemen, and welcome to the Vulcan Materials Fourth Quarter and Full Year Earnings Conference Call. My name is Jennifer, and I will be your operator for today. [Operator Instructions] I would now like to turn the conference over to your host for today, Don James, Chairman and CEO. Please proceed.
Donald James: Good morning. Thank you for joining this conference call to discuss Vulcan's fourth quarter and full year 2010 results. I'm Don James, Chairman and Chief Executive Officer. Joining me today is Dan Sansone, our Executive Vice President and Chief Financial Officer; and Danny Shepherd, our Executive Vice President, Construction Materials. Before we begin, let me remind you that certain matters discussed in this conference call contain forward-looking statements which are subject to risks and uncertainties. Descriptions of these risks and uncertainties are detailed in the company's SEC reports, including our most recent report on Form 10-K. We start 2011 with optimism that the decline in demand for our products bottomed in 2010, and that growth in shipments is ahead of us. We have worked diligently throughout this long downturn to position the company for earnings growth when demand recovers. Improved stability and economic factors that drive demand for our products will bring the strength of Vulcan's fundamentals back into focus. As a result of these efforts, our cash earnings for each ton of aggregate sold in 2010 was $4.15 per ton, 26% higher than it was at the peak of demand back in 2005. The attractive industry characteristics of our primary product, Aggregates, and the determined efforts of our employees have allowed us to maintain this level of profitability in 2010 despite a significant and prolonged decline in shipments during the past four years due to the economic recession. In 2010, the year-over-year decline slowed significantly from the prior three years. During the period from 2007 through 2009, aggregate shipments, adjusted to include major acquisitions and divestitures, declined 11% in 2007, 21% in 2008 and 26% in 2009. In 2010 , aggregate shipments declined 2% from the prior year, reflecting varied market demand conditions across our footprint. Fourth quarter aggregate shipments in several of our key markets exemplified these varied market demand conditions. In Florida, demand remained relatively weak during the fourth quarter, while California exhibited some modest growth in shipments versus the prior year. In Texas, aggregate shipments in the fourth quarter increased more than 30% from the prior year, while in our markets in North Carolina, shipments declined more than 30%. Finally, Tennessee and Illinois, two states that quickly obligated and awarded their stimulus-funded highway projects, both realized growth in aggregate shipments versus the prior year's fourth quarter. While overall, aggregate shipments in the fourth quarter were flat compared to the prior year, we experienced unfavorable mix variances versus the prior year, accounting for the majority of the 4% decline in reported freight adjusted selling prices. The remaining decline in the average freight adjusted selling price in the fourth quarter was mostly attributable to competitive price pressures in Florida and California. The earnings effect of lower freight adjusted selling prices in the fourth quarter of 2010 was $15 million. This earnings effect was offset somewhat by higher earnings in our Transportation businesses that support our Aggregates businesses by moving aggregates from producing quarries to sales yards in regions where local aggregates are unavailable. The average unit price paid for diesel fuel in the fourth quarter increased 19% from the prior year, reducing earnings approximately $4 million. Excluding energy-related costs, aggregates unit cost of sales in the fourth quarter were favorable compared to the prior year, reflecting the effective cost control efforts by our employees. Overall, segment earnings for aggregates in the fourth quarter were $58 million versus $70 million in the prior year. Segment earnings in 2010 included $7 million of certain adjustments in charges in the quarter. In our Asphalt segment, earnings were $8 million versus $10 million last year. Selling prices for asphalt mix increased 2% offsetting a portion of the earnings effect of a 14% increase in liquid asphalt costs. Sequentially, unit material margins in the fourth quarter increased slightly from the third quarter. This is our second consecutive quarter of improving asphalt mix margins. In our Concrete segment, earnings effect of lower average selling prices more than offset 5% higher shipments and lower unit cash cost of sales versus the prior year's fourth quarter. Cement shipments in the fourth quarter increased 43% from the prior year due to higher internal consumption by our concrete operations. Overall, for the quarter, our EBITDA was $65 million, our cash earnings were $46 million and our net earnings were a loss of $47 million. For the full year, EBITDA was $371 million, our cash earnings were $228 million and net earnings were a loss of $96 million. Full year earnings results include a pretax charge of $22 million. This net amount includes a $43 million charge for the settlement of the IDOT lawsuit, as well as $21 million of certain adjustments and charges recorded in the fourth quarter. These charges were somewhat offset by a $39 million gain reported in the first quarter. For the full year, the earnings effect of higher cost of diesel fuel and liquid asphalt reduced EBITDA $51 million. Additionally, the full year earnings effect of lower aggregate shipments reduced EBITDA approximately $21 million. However, shipping trends for our products continued to stabilize in the fourth quarter. Trailing 12 month aggregates shipments have increased modestly since February, and asphalt and concrete trailing 12 month shipments were relatively stable throughout the second half of 2010. While economic improvement in growth and construction activity across our footprint have not materialized equally, we expect the improvement in shipping trends for our products to continue in 2011 and contribute to earnings growth. There are several factors that make us more optimistic about the prospects for earnings growth in 2011. First, from the perspective of the overall economy, most GDP forecast for the U.S. indicate additional growth in 2011. Additionally, state and local tax revenues have been increasing for the last four quarters, ending December 2010, according to an independent research organization. This pattern appears to be consistent with past cycles in which state and local tax revenues have rebounded after GDP recovers. Since the spring of 2009, all Vulcan-served states have shown positive growth in growth state product, an indication economic recovery is underway. Looking more specifically in our construction end markets, public construction activity, particularly highways, should continue to provide solid support for aggregates demand provided that Congress acts in a timely manner to extend authorized highway funding levels at current levels through the remainder of the year. Overall, the rate of growth and demand for our products in 2011 largely depends on the pace of recovery in single-family residential construction, the stabilization of private non-res construction and at the continuity of Federal funding for highways at current levels without interruption. With that said, we expect aggregate earnings in 2011 to increase from the prior year due to higher shipments in selling prices compared to the prior year, as well as the benefit of our cost-reduction efforts. The midpoint of our estimated growth range in aggregate shipments is 2% above prior year level, driven by low to mid-single digit volume growth in most markets outside of California and Florida, where shipments are expected to be in line with the prior year. Most of our aggregate markets are expected to realize year-over-year price growth in 2011. We believe a more stable outlook for demand will benefit pricing overall. Assuming comparable geographic and product mix, we expect aggregate pricing in 2011 to increase 1% to 3% from the prior year's levels. In our Asphalt business, material margins on each ton of asphalt mix sold have trended higher in the second half of 2010 due to a relatively more stable cost environment for liquid asphalt, allowing average selling prices for asphalt mix to better reflect the cost of this key input. In 2011, we expect this trend to continue, resulting in continued recovery in materials margins. Overall, we expect asphalt earnings to increase from the prior year. This growth in segment earnings assumes a modest increase in sales volumes, as well as improved material margins, as higher selling prices should more than offset higher costs for liquid asphalt. In Concrete, we expect higher sales volumes and slightly higher selling prices. As a result, we expect the loss reported in 2010 to narrow, somewhat. In Cement, we expect segment earnings in 2011 to improve slightly from the loss we reported last year. Selling, administrative and general expenses in 2011 are expected to be lower than the prior year. Total SAG expenses of $327 million in 2010 included approximately $24 million of adjustments in charges referable to the fair market value of donated real estate, severance costs and expenses related to legal settlements. In 2011, we do not anticipate similar adjustments in charges. As a result, we expect SAG expenses in 2011 of $305 million to approximate a comparable level in 2010. Included as part of SAG costs is our ERP project, which began in 2008 soon after our acquisition of Florida Rock. Implementation of this project is on schedule and most major milestones should be achieved by the end of 2012. Annual project cost peaked in 2009 at approximately $13 million but were slightly lower in 2010, reflecting realization of a portion of the cost reduction benefits. We expect a further reduction in net costs in 2011 of approximately $6 million related to the ERP project. Our earnings in 2011 will be affected by the absence of certain adjustments, charges and gains recorded in 2010. In our press release as well as my earlier remarks in this conference call, we outlined $21 million adjustments and charges recorded in the fourth quarter. Additionally, we incurred $42 million in charges in the second quarter for the settlement of the IDOT lawsuit, and recorded a $39 million gain in the first quarter as part of the sale of non-strategic assets. The net earnings effect of these items lowered EBITDA for the full year by about $22 million. In 2011, we do not anticipate similar adjustments, charges or gains. Further, we are involved in three arbitration proceedings seeking recovery from our insurers of legal settlement cost and fees expensed in 2010 and prior periods that could impact earnings in 2011. The first arbitration relates to a case filed in Modesto, California in 2008 referable to our former Chemicals business. In the third quarter of 2010, we agreed to a settlement range with our insurer subject to final arbitration, and booked a minimum amount of $6 million as pretax income from discontinued operations. In January of this year, last month, we received a favorable arbitration award for the full amount we claimed. As a result, we expect to book an additional $7.5 million of pretax income from discontinued operations and to collect $13 million in cash in the first quarter of 2011. We are also pursuing two arbitrations related to the IDOT settlement in which we are seeking to recover from our insurers the amount paid in settlement above a self-insured retention of $2 million, as well as a portion of our defense cost. As previously reported, we recorded a $40 million charge to operations in the second quarter of 2010 for the full settlement amount. Defense costs were expense as incurred. Any amounts we recover through these two arbitrations will be recorded as income from continuing operations when realized. Interest expense for full year 2011 is expected to be in the range of $170 million to $180 million based on expected interest rates and a reduced level of capitalized interest on capital projects. We expect our liquidity profile in 2011 to be strengthened by an increase in earnings, as well as the absence of any long-term debt maturities until the fourth quarter of 2012. We have carefully reviewed our capital spending needs based on projected demand levels, and as a result, we now expect to spend approximately $125 million in 2011, up from the $86 million spent in 2010, but still sharply lower than the $353 million spent in 2008. Due in part to lower capital spending the last couple of years, we expect depreciation, depletion accretion and amortization to be approximately $365 million in 2011, down from $382 million in 2010. During 2010, we completed three acquisitions that will increase our aggregates reserve position and enhance our operational footprint going forward. Two of these acquisitions included quarry operations in Tennessee and in Southern California. The third was the acquisition of a concrete business in Atlanta. In summary, we believe our business continues to get stronger as a result of cost control efforts and disciplined approach to pricing throughout this downturn. We will remain diligent in our efforts to look for every opportunity to reduce costs. The underlying trends in both shipments and in the general economy continue to build our optimism, that the worst of this severe downturn is behind us. We are the leader in the U.S. aggregates industry, and are well-positioned for significant participation in the economic recovery and in public infrastructure programs. I would like to reiterate our confidence in the future sales and earnings growth for Vulcan. This confidence comes from our successful strategy to continue strengthening our aggregates-focused businesses, which has the compelling advantage of great locations in major U.S. markets that are expected to experience above-average growth in aggregates demand for many years into the future. We thank you for your interest in Vulcan and your participation in this conference call. Now if our operator will give the required instructions, we'll be pleased to respond to your questions.
Operator: [Operator Instructions] Your first question comes from the line of Trey Grooms from Stephens.
Trey Grooms - Stephens Inc.: First, can you talk a little bit, Don, about the expectation you have for pricing in 2011? Are you expecting any mix, either geographic or product mix, to impact that pricing this year? Or do you think that 1% to 3% is going to be all real pricing impacts?
Donald James: We don't have any mix shift built into those projections. Certainly by the time the year occurs, they will very likely be a different geographic mix than we have projected. But at this point, the 1% to 3% price growth is not based on any sort of mix shift. Clearly, if volumes continue to recover in California, as they appear to have or begin to stabilize and begin recovery, that will help on a mix. As we pointed out in the fourth quarter, our shipments in our markets in portions of North Carolina where we have operations were down substantially, North Carolina is a good state for us. We had much higher shipments in Texas, and the average selling price in Texas is significantly lower than it is in North Carolina, for example. So the recovery in North Carolina would help if that occurs in 2011. So there will always be some geographic mix differences but the simple answer to your question is, we have not projected any significant shifts in our pricing outlook for '11.
Trey Grooms - Stephens Inc.: As we sit here today, would you expect those price increases to show up immediately? Or is that something that will kind of start to increase as the year progresses, you think?
Donald James: Well, I think they will begin -- a lot of what we'll ship in the early part of the year will be based on prices that we quoted in 2010. So I think you will start seeing the benefit of it, some in the second quarter, but then third quarter is when I think you will see increases. Our average for the full year is the 1% to 3% number. We haven't broken that out quarter-by-quarter.
Trey Grooms - Stephens Inc.: I guess looking at North Carolina, just falling off the map, can you talk a little bit about what's going on there? Is that mostly weather or is there some big one -- I mean, what happened there?
Donald James: Well, in our portion of North Carolina, which is certainly not the full state, we are much stronger in the western half than the central and the eastern half of the state. Charlotte is one of our key markets, and Charlotte is struggling on housing and private non-res. Coastal Carolina that we serve is like many other coastal markets where the vacation business is not great. And the state budget in North Carolina is under some pressure. And while there's been a fair highway program, it has not been in the parts of the state that we serve in large part. So the combination of those factors has reduced our shipments substantially in North Carolina in the fourth quarter.
Trey Grooms - Stephens Inc.: And then on Texas, I know that weather has been favorable there relative to last year or I guess year-over-year in the quarter, in the fourth quarter. That's an awfully big jump. Is that mostly weather or are you guys seeing just a pretty big jump in demand coming back there as well?
Donald James: Well, certainly, there is -- last year's fourth quarter in Texas, the weather was absolutely awful. So we have a relatively easy comp in Texas for the fourth quarter. That being said, the economy in Texas is better than it is in most other parts of the country, and Texas continues to grow. I'm sure you've seen the census forecast that, Texas is going to add four Congressional seats as a result of the 2010 census, and there's just a lot of momentum there that yet to be picked up in some other parts of the country.
Operator: Your next question comes from the line of Jerry Revich from Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc.: Don, can you say more about your asphalt material margin forecast for 2011? What are you assuming for liquid asphalt costs, and can you give us an update on asphalt market pricing in January from year end?
Donald James: We think liquid asphalt costs will be up again in 2011 above '10, probably on average, maybe $50 a ton. We expect to be able to continue to increase our pricing for asphalt mix to recoup the big run-up in liquid asphalt prices that has occurred over the last couple of years. As we have said in many meetings and presentations, the ability to get asphalt mix prices tends to lag, liquid asphalt tends to be bought and sold on a spot basis and asphalt mix tend to be sold on a contract basis over some longer period of time. So there is some lag. When we have the highest materials margins in the Asphalt business is when liquid asphalt prices start down and we have booked prices at higher numbers. So we think we'll see gradual recovery in the margins in 2011 in asphalt mix, even assuming the higher cost of liquid asphalt. You asked about trends in January. We're not prepared to go into January results at this point.
Jerry Revich - Goldman Sachs Group Inc.: And Dan, you have a couple of maturities on the debt side coming up over the next year. Should we think of a drawdown on the bank lines, and can you talk about how you're thinking about the capital structure broadly with the bank loan maturities in 2012?
Daniel Sansone: Our next meaningful maturity is in December of 2012 of $300 million. In 2011 and 2012, prior to that large one, the maturities are de minimis, $5 million here or $5 million there. So at this point in time, we're not facing any significant maturities at all in the current year. And as we get closer to the 2012 maturity in December of that year, we'll assess both our free cash flow and credit market conditions at that point in time and make a decision on how to fund it. But right now, we don't believe there's any reason to have to go out and pre-fund that 2012 maturity.
Operator: Your next question comes from the line of John Kasprzak from BB&T.
John Kasprzak - BB&T Capital Markets: How much were aggregates prices down in California and Florida in the quarter, if you can tell us?
Donald James: In Florida, they were down about 14%. And in California, they were down -- we have different markets in California, but they were probably down 6%, 7%.
Daniel Sansone: Two of our California markets were down and one of our markets in California was actually up 2%.
John Kasprzak - BB&T Capital Markets: And do you guys know the infrastructure part of your business in 2010? What the volume change was for the year?
Donald James: If you mean -- do you mean infrastructure including highways, or infrastructure excluding highways?
John Kasprzak - BB&T Capital Markets: Including highways.
Donald James: Including highways, in 2010, highways were up for us about 13%, shipments into highways and shipments into infrastructure were up about 7%. So that's where, obviously, that was where our strength was. Non-construction, that is railroad, ballast, environmental, ag line , et cetera, was also up significantly, 18%. The big drop was of course, in private non-res.
John Kasprzak - BB&T Capital Markets: And I was also curious about concrete, the expectation that prices might be up slightly in 2011, just given that you have the Florida exposure there, obviously, and that residential is still pretty weak in Florida, not getting better anyway. I mean why would pricing even be up a little?
Donald James: Our Concrete businesses is not all in Florida, it's also in Washington, D.C.; Northern Virginia area; Baltimore; Richmond; Norfolk, Virginia; Atlanta; San Antonio; Albuquerque; Phoenix; San Diego; Central Valley of California. So we have a mix, and Florida has been a very tough environment. But while we had a tough year in 2010, we believe the situation is set for some ability to get price increases in concrete. We're not in the business of selling concrete at a cash loss, and we're not going to do that.
John Kasprzak - BB&T Capital Markets: Do you guys anticipate any asset divestitures in 2011?
Donald James: We have some non-core assets that we would sell if the right deal came along, if they were worth more to someone else than to us, we don't have anything built into our projections for that. But certainly, we do have some things that are not strategic to us. That's nothing new. We continue to prune our portfolio, and we'll continue to do that.
Operator: Your next question comes from the line of Timna Tanners from UBS.
Timna Tanners - UBS Investment Bank: Two questions. One, I was interested in the part of your release where you talk about the second half of the year potentially seeing leverage to your business model with the private sector coming back, I just want get a little bit more color on how you weigh two factors of public stimulus continuing through the year but at some point tapering off and then the private sector picking up. How do those factors play against one another?
Donald James: Well, I think what we were trying to communicate was that we expected the second half of private non-res to be better than the first half. But we don't think private non-res is going to improve in '11 over '10. Overall, we think private non-shipments and the private non-res in '11 will be down 4%, 5% compared to this year. While it is stabilizing, we're not seeing the huge drops that we saw in 2008, 2009, slightly lower drop in 2010 than the prior two years. But it looks like to us in contract awards that the private non-res is bottoming, and when we had a reference to the second half, it was the second half would be really better than the first half. But overall for the full year, we don't expect any increase in shipments in the private non-res. Hopefully, we can be surprised. But at this point, we're not projecting up trend in private non-res for the full year.
Timna Tanners - UBS Investment Bank: So stimulus continuing to be solid are going to help the volume story overall?
Donald James: Well, there's still a lot of unspent stimulus money. The Congressional Budget Office report, which has to be accurate, says there's still $9.4 billion in stimulus money for highways to be spent in FY '11. Now FY '11 includes the fourth quarter of '10, so that full amount probably doesn't exist today, but still the stimulus impact is not over. We expect the stimulus to have an impact in 2011, and even a small impact in the '12, and with the tail running all the way out to '13.
Timna Tanners - UBS Investment Bank: Maybe more for Dan. I wanted to know -- I had written in my notes that there will be $120 million debt pay down in the fourth quarter and maybe I missed how exactly that was -- if I was wrong there, if that was expressed. And then also on tax guidance, if you could help us give some color if we're going to continue to see what we saw in 2010 into 2011?
Daniel Sansone: There was not a $120 million maturity in the fourth quarter of this year. I think what you may be remembering is we did have a term loan that we entered into in the summer of 2008, which was a three-year note that would have matured in the summer of 2011. When we put in place the $450 million term loan in the summer of last year, we used some of that cash to prepay that maturity, so that is gone now. And the remainder of that $450 million term loan that we took down in July of 2010 was used to satisfy the $325 million maturity in the fourth quarter of 2010. So the only maturity we have in 2011 is a $5 million maturity, and the only maturity we have in 2012 is a $300 million maturity in December of 2012.
Timna Tanners - UBS Investment Bank: And then, so on tax rate guidance, if you could help us with that. It's been something...
Daniel Sansone: Yes, that's hard. Let me try to tackle the tax rate this way. Let's look at the 2010 numbers as a springboard. We posted a tax provision of $85.9 million, it was a tax credit of $85.9 million. There's a lot of pieces that make that up. But the two drivers that I think you need to focus on in developing your tax numbers for your projections are: first, the tax at the statutory rate. And if you will just take the pretax income tax effective at 35%, that's the Federal tax rate and that will be the starting point for the tax provision. So in 2010, that was about $67.5 million. The second significant piece of the tax equation is statutory depletion on our mining operations. And that amount in 2010 was just a shade over $20 million. So the Federal tax credit and the depletion benefit combined represented virtually all of our tax provision. There's obviously, some state tax that has to be factored into that, and then of course, you have the myriad of other tax items and true-ups and adjustments with the taxing authorities, et cetera. But they have, in the last couple years, generally netted to a fairly small number. I have no reason to think that's going to be materially different in 2011. So I guess my guidance would be, begin with your own assumption on what pretax earnings is going to be for the company. Start with tax at the statutory rate or the 35%, that will be your debit or credit based on whether you have us at earnings or a loss. And then the depletion benefit will generally track the activity in the Aggregate business. So if you are projecting aggregates, revenues and earnings to rise, there will be kind of a scale effect for depletion rising with that. And if you were to have aggregates earnings declining that depletion benefit will be declining. It's not necessarily a straight one for one relationship. But just look at history and I think you can get pretty close. That's my best advice on planning for tax provisions for 2011.
Operator: Your next question comes from the line of Adam Rudiger from Wells Fargo Securities.
Adam Rudiger - Wachovia Capital Markets: Two questions. I'm sorry if I missed this, but did you guys break out what the $21 million in Q4 charges were?
Donald James: Yes, I'll go over that again. We had about -- $3.8 million, $4 million of it was SAG. Most of that was in severance and some of its remaining part was in legal fees and in a case that we have settled and disposed of, which will not be recurring. There's about $7 million of it that ran through gross profit in our Aggregates business. Some portion of that was a write-down of some inventory values at a Legacy Vulcan quarry in Florida that we have mothballed. And when we looked at the reprocessing cost of that material and current selling prices, we booked the charge there. We're also consolidating some of our Deepwater terminals in Florida, Legacy Vulcan terminals. There's some non-cash charge associated with that, that ran through gross profit total that's about $7 million. And then there were a number of non-cash charges that ran through other income. Some of that was asset retirement obligations. Some were some impairment for non-strategic assets, and things like ARO type things. One was a lawsuit settlement of some reclamation obligations that go back to a predecessor of CalMat many, many, many years ago. So all of that rolled -- that was roughly $10 million or $10.5 million, so you roll all that up and it's about $21 million. We don't expect any repeat of any of those things in 2011 or in those categories of things in 2011.
Adam Rudiger - Wachovia Capital Markets: And second question is just on free cash flow for 2011. This is a preliminary kind of estimates but just as I take a quick stab at it, I don't see a real robust cash flows the next year after dividends and your CapEx. I was curious what your thoughts were there and if you've revisited cutting the dividend again at all?
Donald James: Well, our board will take up the dividend at our next board meeting. We look at cash earnings or cash flow or free cash flow as you do. We certainly believe that over the long term, our cash flows will increase substantially. And at this point, we have not elected to reduce our dividends since the equity offering back in June of 2009. I indicated we took some charges and some in 2010 related to some litigation. Hopefully, we can recover a substantial amount of that from our insurers. We certainly believe we are entitled to it and that will have some benefit to cash as well. So there are some moving parts on cash that give us comfort. As Dan Sansone has reported, our maturities of any of our debt, we don't have any significant maturity until late in 2012. So we are -- we have the lion's share of our $1.5 billion line of credit still untapped. So we're not concerned at all about liquidity or cash in the near term.
Operator: Your next question comes from the line of Ted Grace from Susquehanna.
Ted Grace - Goldman Sachs: First, on the highway bill, we all heard what the President said and the Republicans' rebuttal and I think there's been a lot of consistency there among other things that we need to live within our means, the highway trust fund is clearly underfunding on the structural basis and other people we've spoken to in D.C. have suggested that we may well need to live within our means with the highway bill. That, obviously, would imply pretty substantial cuts. I was hoping maybe you could start by talking about what you're hearing on the highway bill and then we can go from there.
Donald James: Well, I think there are a couple of points of misinformation have occurred. Somebody reported that the Highway Trust Fund was in deficit, that's not correct. The Highway Trust Fund has ample funding to maintain the $41 billion or $42 billion spending levels through fiscal year '12, which would be September 30, 2012. That doesn't necessarily mean that Congress will spend that amount. But that amount is in the Highway Trust Fund. So there is no current deficit in the Highway Trust Fund. You are correct that the current receipts into the Highway Trust Fund are less than current expenditures. That's being offset by the supplemental appropriations that have gone into the Highway Trust Fund, the most recent of which was $19.5 billion earlier in 2010 as a result of the HIRE Act. And it was a restitution of interest on unspent balances in the Highway Trust Fund that have been drawn down for the accounting side, I would say, a deficit reduction in past, and that money was restored to the Highway Trust Fund. Long-term for the country to grow highway spending in a way that will at least maintain the condition of the current investment in highways and to create jobs, as you know, in the construction sector, unemployment is running twice what it is in the general economy, it will require some incremental revenue stream to the $18.4 per gallon that was last adjusted back in 1993. At this point, we don't have a prediction or projection for when we will see a new multi-highway bill or what source of funding is. Our focus today is to get the authorized level of spending approved through the rest of the year, then we'll begin to look at sources of revenue. I think a real important fact is that a lot of the highway users, that is not the construction highway, construction and materials industry, but the people who use the highways in their business are saying, "Come on guys get on with this highway program." The U.S. Chamber of Commerce has embraced a higher fuel taxes to go on the Highway Trust Fund. The American Trucking Association has embraced higher fuel taxes to go in the Highway Trust Fund. We are in this political game of chicken where nobody wants to say raise taxes either side of the aisle. So that's where we are.
Ted Grace - Goldman Sachs: I guess on a related note, it would be great to get your state of what's going on in the individual states? Certainly we think the states are probably the better part of half of total road and highway, it's not something that gets a lot of attention. And certainly, while to your point, tax receipts are improving, states are -- there's a ton of survey work done that says states are still facing, I think it's fair to use the word massive deficits, and so as they look at spending relative to priorities, education, healthcare, public safety take precedence over just above everything else. We've seen some anecdotes, Kansas most recently where the governor actually in his budget included taking funds out of the State Highway Trust Funds. In our conversations with [indiscernible] they highlighted similar risks at most states and actually referenced similar issues or risks in Maryland, Virginia and Florida. So just curious if you have any perspective of that side of it as well?
Donald James: Well, if you look at the source of highway spending, in 2009, you had, from the regular Federal Highway Program, you had $42 billion, you had about $6 million in stimulus and you had $34 billion in state and local. State and local dropped in 2010 down to about $30 billion as the stimulus spending ramped up from $6 billion to $11 billion but the regular federal program with some bits and starts and ebbs and flows continued. We don't see a big drop in any state and local. We think the state and local contribution to highway spending in '11 will actually be up slightly to offset a slight decline in stimulus spending. Every state's got a different story. I think it is important to drill down to how states fund their state and local highway programs. Generally, they don't use income taxes or sales taxes, general sales taxes, which have been the most volatile source of revenues for states. Many states use fuel taxes or excise taxes on transportation-related items, including taxes on automobiles or vehicles. So there's a huge -- it's really difficult to generalize from state to state in the condition of the transportation budget. That being said, there are many states with improving programs, projected improvements in programs, many states with declines in the program. Overall, we think it is reasonably balanced as we go forward.
Ted Grace - Goldman Sachs: As a follow up to Jerry's question, did I hear you correctly, right now your best guess is liquid asphalt price is up $50 year-over-year?
Donald James: Yes, that's an estimate but it's like predicting the price of crude oil. Who knows? So that's just where we are when we put our numbers together.
Ted Grace - Goldman Sachs: And what's the base number for liquid asphalt? And what was your average price in 2010?
Donald James: $464 a ton.
Ted Grace - Goldman Sachs: So if we take $464 and we assume at 5% of the cost, correct? That's kind of the rule of math we use, that 5% of...
Donald James: The 5% is by weight. The aggregate goes in at $10 or $12 a ton and the liquid asphalt goes in at $464 a ton. So you need to do your math differently I think. It's not 5% of the cost, it's 5% of the weight.
Ted Grace - Goldman Sachs: Exactly, so if you convert it, it's about 70% of the cost of a ton of asphalt?
Donald James: That's roughly correct.
Ted Grace - Goldman Sachs: And if we look at diesel futures as a proxy for liquid asphalt because it's historically shown the highest correlation there, that will probably point to 20-plus percent inflation. I guess what I'm curious to understand is when you look at your guidance of volumes up say 2% for aggregates, how does that adjust for the fact that state budgets are at best semi-fixed on a dollar perspective and you've got pretty substantial inflationary component in liquid asphalts which actually essentially deflates your real purchasing power?
Donald James: Well, we factored all that into our projections. I mean we live and breathe all that everyday. That is one of the problems with a fixed cents per gallon revenue stream set back in 1993, when the price of imports go up and the one that, by far, is the more volatile as liquid asphalt, it does reduce purchasing power and more of the dollar goes to asphalt mix and ultimately liquid asphalt than to the other components.
Ted Grace - Goldman Sachs: So said differently, you actually think on a dollar basis road and highway spending is up more than your tonnage assumption we assume on aggregates?
Donald James: Well, ours is based on our markets, not the whole company, not the whole country. And so we do it on a very granular basis, and I can't get beyond -- I don't have the data to try to get beyond what will happen in our markets.
Operator: Your next question comes from the line of Kathryn Thompson from Thompson Research Group.
Kathryn Thompson - Avondale Partners: For your guidance you gave for the year, does that assume flat federal highway funding for 2011? So in other words, $41 billion spend?
Donald James: Yes, I mean within the range of $42 billion to $41 billion, it's flat.
Kathryn Thompson - Avondale Partners: And also in terms of your driver for your increased CapEx, what is the primary driver for your increase CapEx?
Donald James: Let me go back. We are projecting stimulus spending to be down some in '11. So the total Federal piece of highways, we do expect to be down some compared to '10.
Kathryn Thompson - Avondale Partners: As far as your increased capital expenditures, you talked about a little bit earlier in your prepared comments. But what are your first areas for spend and where do you see that overall just stepping back and looking the next several years, where do you see a more normalized maintenance CapEx?
Donald James: Well, maintenance CapEx is really a function of tons of throughput of aggregates going to the plants. And the plants don't depreciate or deteriorate with age or time in any meaningful way. It's really how hard you run them, how many tons you're running through it. As you can imagine, running crushing rock consumes plant and equipment with a fair amount of vigor. So the best way to think about CapEx for replacement CapEx is on a cents per ton basis. It's not smooth, I mean, when you have to rebuild a plant, that gets to be lumpy. But most of our CapEx, or projected CapEx for 2011, is replacement CapEx although we've got some other things in there...
Kathryn Thompson - Avondale Partners: So is that like a placement of mobile equipment initially and...
Donald James: Not a lot of that because we're not wearing out our mobile equipment today as the same as we're wearing it out twice as fast five years ago as we are today on -- because of the difference in volume. The same thing with our fixed plant equipment. So we didn't place $88 million in 2010. That was less than we had projected at the beginning of the year because volumes were actually slightly weaker than we projected at the beginning of the year. And it's really a function of how much volume we use, is how fast we consume our plant. And with the number of plants and the mobile equipment fleet we have, we have a fair amount of flexibility in utilizing our resources across a big footprint.
Kathryn Thompson - Avondale Partners: You said that much of the 2011 CapEx is replacement. What exactly would you be replacing if that's not mobile equipment, if it's not fixed plant equipment?
Donald James: I didn't say we wouldn't. That's what you replace...
Daniel Sansone: There's no single category of equipment or assets that dominates the $125 million. In certain locations we're replacing processing segments within a plant that have either become inefficient or have to be moved to get better access to the reserves. There's a number of projects for further development of some greenfield sites to make sure that we do what is necessary to protect the permits for those sites. In some other cases there are some pieces of mobile equipment being upgraded. It is really a large number of very small projects, generally speaking, spread across a pretty broad footprint, as Don said. And there's some carryover spending embedded in that $125 million. If my memory serves me right, it's around 25% to 35% of that total is spending that will occur in 2011 on similar type projects that were begun in 2010 or earlier. We are just completing them. So again, it's really no single category jumps out and says, "My gosh, we're having to spend a lot of money on this or that," it's really site-specific and responding to very, very specialized needs. You may have one location where there is a problem with a screening circuit, you'll deal with that. Another location where you have a mobile equipment issue, you deal with that. But it's not a single across-the-board category that's making up the spending.
Kathryn Thompson - Avondale Partners: Also, you projected lower SAG on a dollar's basis for 2011, and I understand you do have some IT costs that you're not carrying over in 2011 that you had in 2010. What are the other drivers for the lower SAG cost in 2011 on a dollar's basis?
Donald James: Well, we had a fair amount of severance, we had a fair amount of legal fees. I think I covered this earlier but we had...
Daniel Sansone: Related to the ERP project, as we have rolled that project out, we have been able to reduce the headcount associated with transactional accounting and those implementations in the various businesses have occur sequentially, so we're seeing a full year effect in 2011 of some of the reductions in administrative costs that occurred as a result of the ERP project. We have only partial year benefits in 2010.
Donald James: Kathryn, the major items are donation. We had a $9.2 million donation in 2010. We had roughly $7 million in severance costs. We had about $8 million in professional fees that we don't believe we'll have again in 2011.
Kathryn Thompson - Avondale Partners: This is more just an industry question for you. Do you know what the aggregate intensity of a single-family versus multi-family development is for aggregates?
Donald James: Our estimate is single-family, if you use single-family is a 1, multifamily is going to be like a 1.8. It's going to be more like retail construction because you have parking lots and typically more concrete and asphalt then you would in single-family per dollar of spending.
Kathryn Thompson - Avondale Partners: And also just in terms of -- I know there's been of focus on overall cost for raw materials and other input costs into 2011. Would you differentiate what your thoughts or your forecast for your truck versus rail rate trends for 2011?
Donald James: I think they're both driven by fuel costs. And if the question is what will be the escalator, if any, in delivery costs of truck versus rail, I think it's all fuel costs and the fuel costs are similar in terms of change from year to year, same thing with parts and chips.
Operator: Your next question comes from the line of Garik Shmois from Longbow.
Garik Shmois - Longbow Research LLC: Can you just parse out, on the pricing side, the 4% decline in the quarter, you mentioned in your remarks that most of it was due to geographic mix. But how much was the declines in California and Florida part of the 4%? Is it fair to think about it as maybe 1% and that...
Donald James: Yes, that's what we were saying, it's about 1%.
Garik Shmois - Longbow Research LLC: And then just lastly on the cement prices, there's an increase in market in Florida. If you could just comment on that? If you're participating or if you expect that to hold?
Donald James: Well, we certainly intend to improve our cement pricing. Our volumes were way up in the year as we indicated. There've been largely by internal consumption. But we think the stage is set for some improvement in cement pricing in our markets.
Operator: Your next question comes from the line of Todd Vencil from Davenport.
Todd Vencil - Davenport & Company, LLC: On the guidance for volumes where you gave a midpoint, would you care to sort of put a range around that midpoint?
Donald James: Well, you can probably say 1% to 3% or maybe 0% to 4%. That's sort of the parameters about as we look at ups and downs. We don't see the situation given our assumptions for a huge variation in demand. But we hope there's some more upside. But as we sit here today, 2% is our best risk adjusted estimate.
Todd Vencil - Davenport & Company, LLC: And you didn't mention it, so I assumed it wasn't significant. But was there any product mix shift in the year-over-year price change in the fourth quarter?
Donald James: There's always some, but it was not as significant a factor as the geographic mix.
Todd Vencil - Davenport & Company, LLC: So we haven't really started to see the long anticipated shift back toward a more normal proportion of base material?
Donald James: I don't know what that means but...
Todd Vencil - Davenport & Company, LLC: I guess we had heard, I think we had talked, if we haven't, I could be mistaken that there's been a lot of demand for clean stone and that base material had been piling up towards fairly heavy inventories of that out there.
Donald James: Well, you probably were talking to somebody else. Certainly, with the stimulus money using clean stone for resurfacing, there have been big increases in base material in the industry. We work very hard to manage that. Our inventories are actually down year-over-year. So I don't think that's a factor for us next year.
Todd Vencil - Davenport & Company, LLC: You said on the last call about Florida that you hope that you're going to see some pricing stability there and, obviously, prices were down year-over-year in the quarter. Can you talk about what you saw there sequentially?
Donald James: From third quarter to fourth quarter?
Todd Vencil - Davenport & Company, LLC: Yes, sir.
Donald James: I don't think the price improvement we're looking for in Florida will begin in the fourth quarter. It will be a 2011 phenomenon.
Todd Vencil - Davenport & Company, LLC: Switching to just a follow up on some of the CapEx comments, if you think about the different businesses or the different business segments or however you want to think about it, where is the majority of the CapEx or what does split look like on capital expenditures among concrete, asphalt and aggregates?
Donald James: It's heavily, heavily aggregates.
Daniel Sansone: Predominantly aggregates, very little capital is being spent on Concrete or the Asphalt businesses right now, same with cement. We completed the expansion in the cement plant that was underway when we bought Florida Rock. So there's a lot of fresh capital there. We're not putting very much money in and literally the spending in concrete and asphalt is de minimis.
Todd Vencil - Davenport & Company, LLC: I absolutely accept the concept that the maintenance requirement goes way down as volumes go down but given your spend is so far below D&A, have you seen any sort of shift in repair and maintenance expenditure? Or are you sort of keeping that...
Donald James: I think the best indication of that is that we said that excluding energy costs, diesel fuel and electricity, our unit cost of sales in aggregates in 2010 were slightly lower than 2009, and that includes the R&M component as well as labor and other things so...
Daniel Sansone: I would also add, if you think about the level of CapEx spending today relative to DD&A, don't forget that our DD&A charge is significantly inflated by the purchase accounting associated with the Florida Rock transaction. I don't have the number at my fingertips of how much is embedded in there for the markup but it's a significant portion. So if you factor that out and look at it on a traditional historic comp DD&A number, it's not nearly the GAAP that you're seeing.
Donald James: And look at the difference in our cash earnings versus our GAAP earnings and you'll see the impact of these big non-cash depreciation charges.
Todd Vencil - Davenport & Company, LLC: I asked you last quarter about the $35 million that showed up on the cash flow statement that you said was buying that concrete operation in Georgia. It looks like almost the same amount is on the cash flow at this quarter. Can you talk about that a little bit?
Donald James: Yes. We bought two quarries, as I indicated in my remarks. We bought a quarry in San Diego, we bought a quarry in the Knoxville, Tennessee market. These are operating quarries, and they're both owns for us and they were strategic to us.
Operator: Your next question comes from the line of Brent Thielman from D.A. Davidson.
Brent Thielman - D.A. Davidson & Co.: Just first on the Cement business, I mean we've all heard about the challenges in the Florida market and you've experienced some pretty robust improvement in volumes there for a few quarters now. Can you just help me understand the discrepancy there.
Donald James: I don't know that there's a discrepancy. As Dan Sansone said, we completed and brought the second line of our cement plant in Florida on stream. We are supplying a greater proportion of our internal needs, both directly and indirectly, through swaps. So that's the story.
Brent Thielman - D.A. Davidson & Co.: And then on concrete prices, it sounds like you're expecting it to hit a floor year maybe in 2011. Are you starting to see some evidence of that year in Q1?
Daniel Sansone: Yes, we've got price increases in place in a number of markets.
Operator: Your next question comes from the line Aynsley Lammin from Citigroup.
Aynsley Lammin - Citigroup Inc: Firstly, if you could comment on your expectation for any kind of the underlying cost increases on [inidscernible] say ignoring kind of energy and depreciations, is there any cost of sales category? And could I just clarify I think you said your front-end cost this year you'd expect to be between $170 million and $180 million. Is that correct?
Donald James: Correct. The only place we see cost escalation in Aggregates businesses is in diesel fuel, little bit in the explosives but we hope to be able to offset that by productivity and efficiency.
Aynsley Lammin - Citigroup Inc: Could you just remind us again how many gallons of diesel you use across the group?
Donald James: 43 million gallons. And of course, that's way down because we're producing a lot less rock than we did four years ago.
Operator: There are no further questions at this time. I will now turn the call over back to Mr. Don James for closing remarks.
Donald James: Thank you very much for being with us today. We look forward to talking to you again after the conclusion of the first quarter. And have a good day.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for your participation. You may now disconnect. Have a great day.